Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Liberty Broadband 2021 Q4 Earnings Call.  As a reminder, this conference is being recorded at February 25. I would now like to turn the conference over to Courtnee Chun, Chief Portfolio Officer. Please go ahead.
Courtnee Chun: Thank you and good morning. Before we begin, we'd like to remind everyone that this call includes certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual events or results could differ materially due to a number of risks and uncertainties, including those mentioned in the most recent Forms 10-K and 10-Q filed by Liberty Broadband and Liberty TripAdvisor with the SEC. These forward-looking statements speak only as of the date of this call, and Liberty Broadband and Liberty TripAdvisor expressly disclaim any obligation or undertaking to disseminate any updates or revisions to any forward-looking statement contained herein to reflect any change in Liberty Broadband or Liberty TripAdvisor's expectations with regard thereto or any change in events, conditions or circumstances on which any such statement is based. On today's call, we will discuss certain non-GAAP financial measures for Liberty Broadband, including adjusted OIBDA. Information regarding the comparable GAAP metrics, along with the required definitions and reconciliations including preliminary note and schedules one and two can be found in the earnings press release issued today as well as earnings releases for prior periods, which are available on Liberty Broadband's website. Now I'd like to turn the call over to Greg Maffei, Liberty's President and CEO.
Gregory Maffei: Thank you, Courtnee. Good morning. Today speaking on the call we will also have Liberty Broadband’s Chief Accounting Officer and Principal Financial Officer, Brian Wendling. Ron Duncan CEO of GCI; and Pete Pounds, CFO of GCI will also be available to answer questions. Also during Q&A, we will be available to answer questions related to Liberty TripAdvisor. So first starting with Liberty Broadband, we continue to sell on a charge buyback and from November 1st of 2021 through the 31st of January of 2022, we received $1.3 billion of proceeds from Charter. Over the same time period, we repurchased $1.4 billion LBRDA AND LBRDK shares at an average per share price of $157.95, which is a look through price on the underlying Charter of about $520. I would note that Liberty has sufficient cushion under the 26% fully diluted ownership cap that in January that we had no time selling to Charter’s buyback for that one month in January. Looking at Charter, we tried to generate another quarter of strong revenue growth and cash flow to growth as well. Revenue was up 4.7% and EBITDA was up 7.7% over the prior year. In 2021, Charter generated $8.7 billion of free cash flow, which was up 23% over 2020. Despite an all-time low churn and low move environment, Charter had solid broadband growth. There were 120,000 additional net additions, subscriber additions in the fourth quarter across residential and SMB, bringing the full year total net adds to 1.2 million. Charter had a huge quarter for mobile, adding 380,000 new lines through many 1,000 new lines in the fourth quarter alone, the best quarter to date for the product. Charter mobile net adds were 13% of all industry postpaid phone net adds in the fourth quarter, a great share in our territory. We added 1.2 million new mobile lines in 2021. And Charter’s mobile go-to-market and pricing structure is resonating in the mobile marketplace and we are optimistic about the ongoing opportunity. This year Charter will also begin to leverage the CBR spectrum assets that we bought last year with initial deployment of small cell radios. This hybrid M&O and opportunity is a capital efficient means of improving the cost structure of our mobile business, which obviously pairs very well with our exciting broadband business. Let me turn to TripAdvisor and note that the travel recovery continued through 2021. So trends were slowed by Omicron in December, but those headwinds are now receding. We expect leisure travel will turn to 2019 levels by later this year, and 2020 will benefit from the return of international travel, and much advanced trip planning. TripAdvisor's brand value is as strong as ever. And Trip reached over 1 billion reviews and opinions on the platform in the quarter. Trip is balancing its efforts on growth and appropriate investment across its portfolio to position the business well for long-term success. In one of the areas in which we're investing is Experiences and Dining had the strongest recovery in the portfolio, lafourchette revenue reached 90% of the 2019 level in the fourth quarter. And we continue to invest in the segment both on product supply, technology and expanding into the geographic reach. We're also evaluating ways to crystallize the value of our R&D segments, specifically viator. And we did file for a sub IPO of that asset. On the other hand, Trip Plus didn't get the intended traction that we saw in 2021. And our focus now is rescaling that investment opportunity appropriate with the current sizes that we see. We believe in the potential of a subscription business, but we'll recognize that growth more gradually. I would note we are also progressing well in the CEO search with several exciting candidates. And with that, let me turn it over to Brian to discuss the financials in more detail.
Brian Wendling: Thank you, Greg. At quarter end Liberty Broadband have consolidated cash and cash equivalent of $191 million, which includes $34 million of cash at GCI. The value of our Charter investment as of yesterday's close was $31 million. At quarter end, Liberty Broadband had total principal amount of debt of $3.8 million. During the quarter we repay $200 million under our Charter margin loan which we had drawn in Q3 in part to fund share repurchases at Broadband given the timing differences and when we received proceeds from the Charter share sales. Note the above amounts exclude the indemnification obligation and preferred stock. Looking at GCI, 2021 was a great year for the company. GCI generate a solid free cash flow and continue to delever. For the full year, GCI’s net debt declined $314 million due to solid OIBDA, growth reductions in the RHC related receivables, moderate CapEx and refinancing in October, which will save approximately $8 million in interest expense per year. Leverage is defined in its credit agreement was 3x at the end of the year, which is down to full term from last year. And GCI has $397 million of undrawn capacity under its revolver. For the full year, revenue grew 2%, adjusted OIBDA grew 3% to $354 million, the company's highest ever adjusted OIBDA number, driven primarily by data demand. In the fourth quarter, revenue declined slightly 3% and adjusted revenue declined 10%. This was driven by the absence of political advertising this year, as well as the accounting effects of the extension of a large wireless roaming contract that GCI entered into in the fourth quarter. The revise terms of the contract were headwind to revenue in Q4 will be a headwind in 2022. But importantly, the agreement is MPV positive over the multi-year expansion and provides for continued backhaul services for GCI’s network even once the new contract expires several years out from now. Operationally, GCI added over 10,000 consumer cable modem subscribers and 8,000 consumer wireless customers. The network was improved by the growth in the 5G Wireless Network, increase satellite capacity and progress on the fire bell to Dutch Harbor. With that I'll turn the call back over to Greg.
Gregory Maffei: Thank you, Brian. And to our listening audience, we appreciate your continued interest in both Liberty Broadband and Liberty TripAdvisor and look forward to 2022 with you. And with that, operator, I'd like to open the line for questions.
Operator:  And our first question comes from Michael Rollins with Citi.
Michael Rollins: Thanks. Good morning. I was curious to get your thoughts on Charter and specifically when you decided to participate into Charter’s buyback to stay at or below that 26% ownership level. It seemed like you're balancing several factors, including the discount to NAV at which you estimated Liberty Broadband was trading at, as Charter shares have come in value, have your considerations about selling into that Charter buyback changed? And would you rather hold on to more of your Charter shares? Thanks.
Gregory Maffei: Thanks for the question, Michael. No, I don't think the calculus has really changed because the discount has remained relatively constant. So our opportunity to pay a relatively modest tax rate and buy the discounted Charter shares by buying through Liberty Broadband has only made the whole opportunity more attractive. The relationship between Broadband and Charter has remained relatively constant. And yet the underlying is therefore even more attractively priced. So we're enthused about Charter’s buyback and yet more enthused about our own buyback.
Operator: Our next question comes from James Ratcliffe with Evercore ISI.
James Ratcliffe: Great, thanks, two, if I could, first of all, Greg you just mentioned the tax impact going forward, what's your tax drag? Should we be thinking about for your sales of the Charter stock? And secondly, can you talk a little bit about the revised roaming deal, GCI and what sort of impact you basically expecting that to have going forward? Thanks.
Gregory Maffei: So I'll touch on the first and then let Ron or Pete addressed the second. For 2022, I think we're looking at a 5% drag or 7% drag going up to something like nine over time. So we'll see. At some point we are going to run out of basis. So this is going, that relationships going to change. But we're okay for this year. Ron, do you want to go -- do you want to chat about your roaming?
Ron Duncan : Sure, we had an arrangement with a large roaming customer under which they were coming up on an optional termination. And we negotiated a multi-year extension, as Brian mentioned at an NPV, Net Present Value substantial positive and a good deal for the long term on the company. And what you're really seeing is the accounting effects of the way that contract is treated, the contract is required to take the revenues over the expected life of the contract and amortize them equally over the number of years in the contract. The cash under the contract doesn't actually change in the immediate future. But what you're seeing is primarily an accounting effect from an extension of the contract further out with lower revenues in the future period, which drags down the accounting effect up front of recognized revenues. And, Brian, if I got that wrong, you might want to jump in there before it goes too far.
Brian Wendling: No, you got it. Well said.
Operator: And our last question comes from Ben Swinburne with Morgan Stanley.
Ben Swinburne: Thanks. Good morning. Greg, another thing that's changed over the last several quarters has been all pieces share price. I'm sure you've noticed. I was just curious as you think about cable consolidation, which we used to talk about more. But maybe that's time to talk about again, if you think there might be an opportunity there between Charter and Altice, do you think the regulatory environment has gotten much tougher, so that becomes anything of size gets harder? And I just wanted to follow up on your basis point after your answer.
Gregory Maffei: So I think my friends at Charter, who were sometimes, well, the Altice favor is going to be the method for all success going forward in cabler, feeling pretty good about the Charter way. And the questions about Altice’s opportunity versus Charter has pretty much ceased. So that's been positive. I think Charter’s got a great plan of its own, you rightly point out some of the regulatory issues, I think some of the territories that Altice has are attractive, particularly southern link territories, but they don't appear to be sellers of that, there have been all those rumors that they might sell those and go private on the balance, who knows. But I think Charter and would be currently looking at any assets that were attempting to be sold, obviously that company is effectively controlled, so they'll make their decisions about what they're going to do. But I think Charter is pretty happy with the growth plan it has and you rightly point out the regulatory challenges so.
Ben Swinburne: So yes, sounds like you think New York would be tough probably there, state or federal or both point of view.
Gregory Maffei: Don't you think so living there?
Ben Swinburne: Yes. I do. And then just, I hadn't thought about the tax basis point you just made, so just is there any way you can help us think about what your -- is it as simple as looking back at your original basis and Charter shares and sort of once you've sold enough stock to cover that tax treatment changes, and so things have to change with the Charter relationship, or it's probably more complicated than that. But if you can help us think about the math there.
Gregory Maffei: It’s roughly, Ben, that's roughly correct calculation. I think that's a good way to think about it.
Gregory Maffei: And thank you to all of our listeners and questioners. That's it for today. Again, we hope to see you next quarter, if not sooner, and thank you for your continued interest in both Liberty TripAdvisor and Liberty Broadband. And with that, operator, I think we're done.
Operator: Thank you. Once again, that does conclude today's conference. We thank you for your participation. You may now disconnect.